Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sonus Networks Third Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, October 29, 2013. I would now like to turn the conference over to the VP, Investor Relations, Ms. Patti Leahy. Please go ahead, ma'am.
Patti Leahy: Thank you, and good afternoon . Welcome to Sonus Networks Third Quarter 2013 Operating Results Conference Call. As a reminder, today's press release and supplementary financial and operational data have been posted to our IR website at sonus.net. A recording of this call and a copy of our prepared remarks will be available there later this afternoon, as well. Speakers today are Ray Dolan, President and Chief Executive Officer; and Moe Castonguay, Senior Vice President and Chief Financial Officer. Please note for purposes of Safe Harbor provisions that during this call, we will make projections and forward-looking statements regarding items such as future market opportunities and the company’s financial outlook. Actual events or financial results may differ materially from these projections or forward-looking statements and are subject to various risks and uncertainties, including, without limitation, economic conditions, market acceptance of our products or services, the timing of revenue recognition, difficulties leveraging market opportunities and the impact of restructuring activities. A discussion of these and other factors that may affect future results is contained in our most recent Form 10-Q filed with the SEC and in today’s earnings release, both of which are available on our website. While we may elect to update or revise forward-looking statements at some point, we specifically disclaim any obligation to do so, unless required by law. During our call, we will be referring to certain GAAP and non-GAAP financial measures. A reconciliation of the non-GAAP to comparable GAAP financial measures is included in our press release issued today, as well as in the Investor Relations section of our website. With that, it's now my pleasure to introduce the President and Chief Executive Officer of Sonus, Ray Dolan.
Raymond P. Dolan: Thank you, Patti, and good afternoon, everyone. We have a lot to cover today, so let me start by giving you my bottom line right upfront. Sonus is winning. We have succeeded in turning a once tired legacy business into an energized growth business that is rapidly becoming a leader in its class. Progress is not always linear, but we are making great progress. As you can see in today's press release, we've provided slightly updated guidance for the year. On the top line, we have reduced the total media gateway estimate, and we've increased our total SBC revenue estimate for net top line reduction of approximately $3 million to $4 million for the full year. Let me provide some color on these variances from our prior outlook. We assume approximately $68 million to $69 million for legacy product revenue for full year 2013, which is an increase from our prior guidance and reflects a slightly slower rate of decline on the product side. Legacy services revenue is now assumed at approximately $80 million for the year, which is below our prior forecast, but in line with our 2012 results. The net change from our prior outlook is a decline of total legacy revenue of approximately $5 million to $6 million for the year. Turning now to SBC. As we said last quarter, we were experiencing a greater mix of service as a percentage of total SBC. We now expect SBC product revenue to be slightly lower than our prior outlook, but we expect SBC total revenue to be slightly higher as a result of higher services revenue. Consistent with what I told you last quarter, there are number of large new projects that have big service components attached to them with initially smaller product revenue. This trend, coupled with the sales cycle for SBC that has lengthened somewhat, have been the drivers behind our revised outlook today. The net change is an increase of total SBC revenue of approximately $2 million at the midpoint for the full year 2013. While this short-term issue creates a little noise in our results, my confidence in our future remains stronger than ever. We are delivering a roadmap that is resonating with our customers and is helping lead them through their decisions around session and cloud-based architectures and the evolving trends around SDN and NFV. Sonus is involved in the right dialogues with our customers and we are very well positioned to partner with them over the long term. As a testament to that, we have recently won 3 new Tier 1 SBC accounts. One is an important international account that we won with a strategic partner. Another international Tier 1 account we won through our direct sales force. And a large domestic MSO was won through our direct sales force. We would not have won these strategic bids if we didn't have an industry-leading roadmap and the ability to deliver. Before Moe goes into the details on the quarter, October marks my third anniversary as the CEO of Sonus. So I'd like to offer some additional perspective on the status of our turnaround and the path forward for our company. Put simply, Sonus is a very different company today than it was 3 years ago. I'm very proud of the team's accomplishment so far, but there is clearly more work to be done. Our goal is to be an industry leader, whether measured on financial, technological or commercial terms. We have earned significant market share. We have taken decisive cost reduction measures, and we have begun to demonstrate margin expansion. All of which have contributed to the beginning of a successful financial turnaround. We're returning some of our excess cash to shareholders through our stock buyback program announced in July, and we expect to be profitable for the full year on a non-GAAP basis. Going forward, all 3 financial levers of revenue growth, margin expansion and cost control remain available to us, and we are focused on optimizing all 3. Let me take each in turn, starting with revenue. Our SBC business is growing strongly. Year-to-date, up 44% when compared to last year. We continue to expect this business to outpace industry growth, driven by our continued success within the service provider and enterprise markets. We have an unmatched product portfolio that spans the needs of small enterprises to the largest service providers and everywhere in between. We believe that our solution breadth and our financial stability are critical factors that are allowing us to win more strategic bids. Turning to gross margins. We've made terrific progress here. Gross margins are up approximately 3 points year-to-date when compared to the same period last year. Our current annual outlook of 63.5% is slightly below our previous goal of 64% to 65%. The majority of this difference can be attributed to inventory reserves of over $2 million associated primarily with the transition from Sun to HP servers. Gross margin expansion will continue to be a big area of focus for the company going forward. Now looking at operating expenses. Year-to-date, we are tracking slightly below our spend for last year on a non-GAAP basis, which basically says the following: through cost reductions, we have more than fully absorbed NET's prior cost structure. We have found that we are actually more productive, more agile and more innovative now than before. But here again, there is more work to be done. We will continue to focus on our cost structure with the goal of driving to double-digit operating margins over time. Looking at 2014, I would expect our operating expenses to be roughly in line with our current outlook for 2013. Although we do expect a seasonal OpEx uptick in Q1. About 6 months ago, we launched a program we referred to internally as whole process, which is a comprehensive process improvement effort leveraging the methodology of Six Sigma. It is designed to simplify all of our processes, create a better customer experience, accelerate our go-to market and the enterprise and the channel, and ultimately, drive sustained profitability. This rewiring is an ongoing effort and has already uncovered further cost reduction opportunities as we simplify our business. Despite cost reductions, Sonus has become a technology leader in a short period of time. The recent announcement of our software-based SBC has catapulted Sonus over the competition and I believe will have a profound impact on our business as the trends around NFV and SDN evolve. Sonus not only embraces the fact that our industry is changing, we will lead that change. We will have more important news to share about our roadmap in the coming weeks and commit to going in depth with you on this topic at our next Investor Day. With that, I'll now ask Moe to take you through the details of the quarter and our outlook. After which, I'll come back with the status of our progress on the key performance metrics laid out for you at the start of the year, and then we'll open it up to your questions. Moe?
Maurice L. Castonguay: Thank you, Ray, and good afternoon, everyone. Total revenue for the third quarter was $68.1 million compared to $57 million in the third quarter of 2012. Total SBC revenue, including products and services, was $29.3 million in the third quarter and $25.4 million in the third quarter of 2012. Our top 5 revenue customers represented 36% of revenue this quarter, down from 41% in the third quarter of last year. AT&T was the only 10% customer in the quarter. We reported revenue from 560 customers in the third quarter. This compares to 403 customers in the third quarter of 2012. Looking at revenue geographically, domestic revenue accounted for 66% compared to 76% in Q3 of '12. Before I go into further details on our financials, I'd like to point out that the following are non-GAAP numbers that exclude stock-based compensation, acquisition costs, restructuring charges, impairment charges, incremental depreciation due to acquisition accounting and write-off and amortization of intangible assets. Total gross margin for the third quarter was 63.4% compared to 58.1% in Q3 of 2012. Our third quarter performance reflects lower product gross margin, offset by higher service gross margin. Product gross margin for the third quarter was 63.6%, compared to 66.3% in Q3 of last year. Product gross margin may fluctuate quarter-to-quarter based upon software content and product mix. Service gross margin for the third quarter was 63% compared to 46.4% in Q3 of last year. Total operating expenses for the third quarter were $39.5 million compared to $38.6 million in Q3 of last year. Net income for the quarter was $2.8 million compared to a net loss of $6.3 million in Q3 of 2012. We ended the quarter with total cash and investments of $267.5 million, which reflects the use of $37.3 million to repurchase shares of Sonus stock. Our DSO for the quarter was 70 days as compared to 52 days in the second quarter. The increase in DSO in the third quarter reflects a higher percentage of shipments occurring later in the quarter due to summer months. Now I'd like to provide details for our outlook for the fourth quarter and fiscal year ending December 31, 2013. I will remind you the outlook provided in the press release is also available on our IR website. Total revenue outlook for the fourth quarter is anticipated to be between $70 million and $75 million. Fiscal year 2013 revenue outlook is expected to be between $270 million and $275 million. Included in the fourth quarter outlook is total SBC revenue of $34 million to $38 million. Total SBC revenue for the fiscal year 2013 is forecasted to be $122 million to $126 million, reflecting year-over-year growth of at least 40%. Turning to gross margins. For the fourth quarter, we expect total non-GAAP gross margins to range between 64% and 64.5%. For the full year, we expect non-GAAP gross margins of 63.5%, reflecting slightly lower-margin products contributing a greater percentage of total revenue. For the fourth quarter, we expect non-GAAP operating expenses to be between $39.5 million and $40.5 million. Total non-GAAP operating expenses outlook for the fiscal year 2013 is now reduced to $165 million to $166 million. For the fourth quarter, we expect non-GAAP earnings per diluted share of $0.02, and for the full year, we expect non-GAAP earnings per diluted share of $0.02. Fully diluted share count for the fourth quarter is anticipated to be approximately 277 million. Weighted average diluted shares for the full year are expected to be approximately 283 million. These forecasted weighted average share counts do not reflect any possible stock buybacks in our fourth quarter. We expect year end cash and investments of $265 million to $270 million, excluding any reduction related to possible stock buybacks. While we are not providing detailed guidance yet for 2014, I'd like to provide a couple of data points to assist you in your modeling in the first quarter. We expect to see normal seasonality in Q1 for both lower sequential revenue and higher operating expenses. With that said, I will now turn the call back over to Ray.
Raymond P. Dolan: Thanks, Moe. In keeping with my usual framework, I'd now like to review our progress with the 4 key performance metrics that we identified to you at the start of the year. Let's start with SBC growth. Year-to-date, SBC product revenue is up 39% and SBC total revenue is up 44%. Both are comfortably ahead of industry growth projections. The next key operational metric I'll discuss is new customer growth. We secured 171 new customers in Q3, 77% of which are new SBC customers. As I mentioned, we recently won 3 Tier 1 accounts, in addition to many other key SBC wins. We feel great about our progress here and our pipeline is very encouraging. Our third key metric for 2013 is the percent of product revenue we generate from the channel and the enterprise, important areas of new growth for Sonus this year. The channel contributed 27% of total product revenue in Q3. Year-to-date, it has contributed nearly $25 million to our total product revenue and is on track for the year. I'm particularly pleased with our enterprise results this quarter. In Q3, enterprise contributed nearly $12 million or 28% of our total product revenue. Year-to-date, enterprise has contributed almost $38 million or 31% of total product revenue. This strong performance is already within the range of full year expectations we established at the start of the year of $35 million to $40 million. While we did score a large government contract in Q1 that got us off to a quick start, the vast majority of our success since then has been driven by an increasing number of enterprises, making the move to UC, cloud services and SIP trunking, and we expect these trends to continue. Given our success with new enterprise customer growth and the strength of our enterprise revenue to date, we're increasing our outlook for the contribution from enterprise in 2013 to approximately $45 million, or approximately 28% of total product revenue. The final key operational metric I'll discuss is our path toward profitability. After raising our outlook last quarter for the full year, we delivered the non-GAAP profit we committed to in Q3 and I'm confident we will deliver on our full year commitment as well. To wrap up, I'm very proud of the team for these results and the progress we are making. But as I said in my opening remarks today, progress is not always linear, especially in the face of the industry changes our sector is undergoing. Change can sometimes cause customers to pause and think a little longer about their network architecture decisions. But through this, we are learning every day. We are engaged in the right discussions. We are delivering an industry-leading roadmap, which is allowing us to become increasingly strategic to our customers and our partners. In fact, as a testament to this, Gartner has just published their second annual Magic Quadrant for SBCs for the communications service provider market. Sonus not only remained in the leaders quadrant, we strengthened our position based on our roadmap, vision and our ability to execute. I'd like to thank our team for their steadfast hard work, and I'd also like to thank our shareholders for their continued support. One final word before opening the call to your questions. As you saw in today's press release, I am very pleased to announce the appointment of Mark Greenquist as our new CFO. Our search process turned up a number of highly qualified and desirable candidates, in large part because these professionals recognize the tremendous opportunity that's in front of Sonus. Mark surfaced to the top of that list because he truly is a world-class executive with deep financial and operational experience. I have known Mark for a number of years and couldn't be happier about his joining the team on November 1. And we look forward to what I'd expect will be a seamless transition. I also want to take this opportunity to thank Moe again for his service over the past couple of years. Moe, we couldn't have done this -- come this far without you, and we wish you every success in your next endeavor. That concludes our prepared remarks this afternoon. I'll now open up the call for questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of James Kisner with Jefferies.
James M. Kisner - Jefferies LLC, Research Division: I guess my first question is to clarify on these large -- these Tier 1 wins. I heard you say international account with a strategic partner. I just want to clarify that you are talking about probably another OEM there. And could you clarify, again, I think you said you won one with a direct sales force and then also an MSO. That second one, could you please clarify again what that was? How do you described it? And just finally, is there any kind of perspective on when you recognize revenue from these wins and sort of the magnitude of these wins? Are they tens of millions of dollars next year? Any kind of perspective at all would be helpful?
Raymond P. Dolan: Thanks, James. I appreciate the question. I'll do my best. First, yes you got it right, one international win to a partner, I wouldn't go so far as to label it OEM specifically because I don't want to get into the structure of the deal. But it was through our partnership program as recently announced, and I'm very excited about that. You can consider that to be profound. I'll size this as best I can going forward in this discussion here, okay? Second, you're right, another international that we won direct, and then the third that we won direct, which was a domestic MSO. The MSO has already scored revenue. The other 2 are likely to score in Q4, but if not, early next year. All of them will have ongoing revenue. These are roadmap wins. These are profound. Okay? And I couldn't be more excited about it, and I'm thrilled that, that became the first question because that's exactly why I put it into the script. I think for people to understand the progress we're making, there needs to be an indication of whether we're making progress, just simply milking gateway customers into SBCs or whether in fact we're participating in the architectural transition that the industry is going through. And I'm convinced that it's the latter. When I get up in the morning as the CEO and, James, I may over answer your question here but thanks, I'm not going to size 2014 but I'd be disappointed if all 3 of these didn't end up over time substantially larger than $10 million. When I get up in the morning, I put on my Sonus CEO hat. I draw off from 30-plus years of experience in the communications sector. And as you probably remember, my last experience was as a CEO of Flarion. And I'd like to share with you what I learned there because I hope it will make me predictable in what I'm trying to bring into the leadership role at Sonus. We called the turn to the mobile Internet in 2000. Of course, the market melted down the next month, hopefully we didn't cause that, but we scrambled and we survived with a bold mission of calling the mobile Internet when most of the world was living in a walled garden and couldn't see the fact that at some point in time, somebody would mobilize the whole Internet. We called for an architectural shift that needed to be OFDM-based for reasons that are too arcane to bring into this call. And we said that the war would be fought on latency for technology and economics, principally. And we were right. Now the fact is we were a small-cap, private, venture-backed company that didn't have the voice it needed to finish that mission, and we sold into Qualcomm, which is exactly what should have happened. Fast forward. I stand up today as the CEO of Sonus, and I know that we have the balance sheet, team and strength and customer commitments to fully participate in the same architectural shift, except this time, the architectural shift is the move to the cloud and the onset of unified communications as voice becomes coupled with video, data, chat and the enterprise and service provider markets collide over the next several years into one unified market that's going to allow SPs to deliver cloud-based services into the enterprise. That's the vision we're following. The path to that is through software. And we launched our SDN strategy last month. I'm extremely proud of the team. That was a Q1 strategy we pulled up almost 2 quarters. This team is executing on time and in fact, early, at a strategic level. There was a saying 20 years ago, "The network is the computer." Let's update that, "The network is the software." Everything else is myths. And we have moved the majority of our SBC into the software space, and the rest will follow early next year, and we will be the path to becoming a software company. I couldn't be more excited, and the Tier 1 wins wouldn't happen if they didn't believe that we were well on our way to that strategy. So thanks to that question. I hope I didn't over answer, but that's what I get up and think about everyday as the CEO of Sonus. Did you have any follow-ups there, James?
James M. Kisner - Jefferies LLC, Research Division: Yes, that was a great answer. Just the one follow-up I would have is I'm pretty sure I know about one of these wins that was redisplacement of Acme -- displacement of Acme, but just could you confirm that these were kind of already, is not greenfield, they were incumbents that you're kind of displacing or taking share from in these accounts?
Raymond P. Dolan: Yes, that's true. We've taken share in all 3 cases, and that's probably the case. I mean, when you're late to the market by 2 years, the odds are somebody has gotten their first. But the good news is a company that named themselves Acme Packet, because they thought the job was moving packets and nothing else mattered, okay, I think the new ownership is waking up to the fact it's a little more complicated than that. Policy matters, QOS matters, Scale matters. Okay? So we're game on in the next second generation of 2.0 of this industry architecture, and we're not just stealing shares at the second source. We're stealing mind share, and we're owning some of the new architecture as these companies think through their cloud strategies.
Operator: The next question comes from the line of Subu Subrahmanyan with The Juda Group.
Natarajan Subrahmanyan - The Juda Group, Research Division: Ray, I was wondering if you can talk about either some of these bigger-picture issues you had mentioned that the carriers are thinking through in terms of the SBC selection. You mentioned you kind of moved to the 2.0 in the industry. Just wondering kind of what is the timing of some of these decisions? Is it impacting the fourth quarter or is this going to be a 2014 kind of a decision process? How do you see that impacting the trajectory of growth in the industry and for Sonus. And then, on the gateway side, just kind of curious the service business has been a pretty steady business. And do you expect it to be steady for the legacy side, wondering if you see that being unchanged?
Raymond P. Dolan: Yes, Subu, thanks. So 2 questions, one is the timing on SBC architecture changes, right? And the other is a little bit of commentary on the legacy business. I'll try to do the first one first, okay? And it's a great question because I think about it all the time. Timing is the challenge, right? It masks the transition we're going through. And the visual image that I have or the metaphor that I use is when somebody tries to turn 90 degrees -- we've all driven cars before. What you do is you slow down in a turn and you accelerate out of the turn. Even the most nimble NASCAR driver slow down in the turn, okay, and accelerate on the straightaway. This industry is going through a turn and is causing some timing issues and is impacting the results of everybody.
Natarajan Subrahmanyan - The Juda Group, Research Division: [indiscernible] right?
Raymond P. Dolan: So obviously, it's going to impact us now. You've asked when do we think we'll come out of that. I don't know that we'll come of the impact of those timing changes for quite some time. But the good news is, the first 3 commits that we got on the Tier 1 level are revenue-ing already. Whether they'll revenue as quickly as we want, hard to say. We'll guide to next year when we get there. But some of the players are acting like NASCAR drivers and they're pivoting around a big oval and they're keeping their speed up, and others almost stopping and pausing and choking and reorienting. And we put their results in and guide at our own peril, right? And so that's one of the most difficult challenges I face is trying to figure out when all those are happening. But as I meet with these people personally and through Todd and other members of the leadership team, I'm convinced that the architectural shift is happening. So I hope that's answered your question. Some of it's now, a lot of it next year. And then some of the Tier 2, Tier 3s will lag because that's what they do. They say they'll lead, but they really want to see the Tier 1s move so that they can follow those technical trends in an industry that's probably going to do more consolidation. But instead of it being domestic, it'll probably be global. So some folks are holding their CapEx, some folks that are struggling entire business models are dressing up their OpEx and CapEx because they know they're going to get consolidated. And they end up surprising us because we have a lot of folks in our old legacy business that are frankly going through consolidation and they're committing to things and de-committing to things. And so we're getting smarter about how to forecast that, and we'll share that with you, but that's not part of our value prop on our growth engine. Now on the legacy side, on these long tails of the legacy business, sometimes you get surprised to the upside, sometimes you don't. We'll tell you every quarter what we're thinking. The piece on the product side is now small enough that continued decline at the 25% to 30% level next year, if that's in fact what happens is I think going to be something we can absorb in the growth of our SBC business and still get the top line growth. If we find it deteriorates more, it'll be harder to do. If it deteriorates less, it'll lead to top line growth. And we'll let you know as we guide you next year where that is. On the services piece, the PSP, the professional services piece, which is probably about 20% of the total number, Moe, somewhere in that range, is probably going to come under pressure because there's less services projects. The maintenance piece will probably be okay. And so as we guide to that next year, we'll let you know where that looks like. But I'm convinced that the maintenance and services piece of the SBC will fill-in behind that. So does that give you an opportunity to think through the model going forward, Subu?
Natarajan Subrahmanyan - The Juda Group, Research Division: Yes. One thing if I can just follow up, Ray, on the architectural updates that carriers are going through, do you think to some degree next year, it changes the trajectory of the market or do you think through this, there are enough opportunities and balance that and you're moving some of them, today, that you mentioned that we can still -- the market still see healthy growth.
Raymond P. Dolan: I think it'll see healthy growth. And I think people are forecasting, say, like high 20s this year, maybe as much as 30. Some people are forecasting, I do know if they forecast next year, but I'd be surprised if they take those down. Some people are because they think VoLTE is being pulled in. I think that's a lot of noise, to be honest with you, but you could call that defensive on our part because we don't have a VoLTE story that we're talking about yet. So net-net, I think we'll be fine. The things that will drive it up or down are the end markets. It's always that way. The UC end market appears to be on fire. We are lined up behind 2 of the 3 leaders. So those leaders are Cisco, Microsoft and BroadSoft. We partnered with Lync. We partnered with BroadSoft. We're not partnered yet at this point with Cisco for obvious reasons. So as that end market eclipses a billion dollars, gets more and more strategic and drives enterprise growth, which we're hearing some great anecdotal evidence that it's accelerating right now. That could be a catalyst for further SBC growth. Because it's just going to pull through sessions, especially as they deploy voice and video, okay? If they don't do that and there's a hiccup in that market, it'll impede the growth of the session side of the enterprise. They're not going to get out ahead of that market, okay? So we're going to follow those trends, okay?
Operator: Your next question is from the line of Catharine Trebnick with Northland Securities.
Catharine Anne Trebnick - Northland Capital Markets, Research Division: So my question is on, Ray, a little bit on the competitive landscape on the enterprise side just to get some more color. Could you describe when you run into may be an AudioCodes or one of these lower end and how well you're doing. I know it's good that your product portfolio goes from the small-medium business all the way to large carrier. But can you just describe the dynamics more on the SMB side of the business and how that's helping you grow your revenue?
Raymond P. Dolan: Sure, thanks, Catharine. It's a great question because AudioCodes is in fact a very effective competitor on the low end. I haven't seen their results for Q3, but we'll let them play out their hand. We do play the breadth and depth card, the financial strength card. Those do show up in research as important decision-making criteria, and they're important to Microsoft as a partner, as well as BroadSoft. But they've been niched into that low end nicely, and we've got some work to do. We're doing it and I think we're getting more and more effective as we go forward, and I expect we'll be even more effective in 2014. Is there -- I hope I've answered your question. Do you need any more there?
Catharine Anne Trebnick - Northland Capital Markets, Research Division: No. The other question -- I'll come back to the other one. I jumped on the call late. So I'll circle back.
Operator: The next question is from the line of Ryan Hutchinson with Lazard Capital Markets.
Ryan Hutchinson - Lazard Capital Markets LLC, Research Division: I just wanted to revisit the dynamics around the product versus service one last time here so I grasp it. Last quarter, you gave a broader range with SBC guidance and indicated at the time that the transactions could happen in Q3 or Q4. And today, you're talking about, obviously, the services component, which you alluded to in the last call, being a larger percentage, so there's 2 things. I want a clarification. Do any of the new wins, the international wins, are they incorporated at all in the new product guidance that you gave? And can we assume just a meaningful uptick at some point in the first half related to the commentary that you've suggested around the dynamics related to the larger services component? Just trying to get a sense on the timing because it looks like what we've -- in essence, if I got this right, would essentially just pushed out sort of an uptick in product from Q3 or Q4 into Q1 or Q2. That's really what I'm trying to get at.
Raymond P. Dolan: Thanks, Ryan. Let me take a shot at that. So I don't read it that way, but I'll try to think it through and we're happy to collaborate with you as we go forward, Ryan, in our discussions. But I don't look at it as a product pushout so much. Those trends were in place in Q3, it's early for me to call that trend into Q4. But I indicated on our call last time that I have sense that we're going to have to take our guide down. So nothing has changed from that, and that it would be a mix issue. So I don't think things pushed out as much as the trends continue. That's the first way and I just offered that to you as my point of view, not to criticize yours, I appreciate that. Now as to whether or not they come in the first half or there's some dramatic bump up, I think that's probably premature to predict. I'm not predicting the first half anyway, but I would suggest to you that I'm not just being coy, I don't see that happening as early as first half. Now of the 3 wins we've had, I wanted to be clear, I said it earlier, one has already revenued. In fact, they've revenued twice since the initial bid. So we've had 3 successive drawdowns in the one case. The others are just revenue-ing this quarter and they might fallout, but they're not so material that could place risk on our guide in Q4 from an SBC product point of view. But they should, if they follow that pattern, continue to revenue either every quarter or every other quarter as those start to grow. So I hope that's answering your question. Happy to take a follow-up if it hasn't.
Operator: [Operator Instructions] Your next question comes from the line of Steve Cohen [ph] with ProVal Partners [ph].
Unknown Analyst: Ray, you mentioned in the -- your opening remarks that SBC selling cycles were getting a little longer, and you talked about the architectural decision points that a lot of the big carriers are facing now. Specifically on Acme Packet, now that Oracle has owned them for 3 quarters or whatever it's been, how has that changed the competitive landscape? Are they a more aggressive competitor now with Oracle's deep pockets behind them? Is the Oracle linkage back to the database of all the other products becoming a meaningful decision point? Or is there all sorts of changes underway at Acme that's actually making them a weaker competitor?
Raymond P. Dolan: Well, Steve, thanks for the question. I wouldn't call Acme nor Oracle a weaker competitor. But I would say that it's offered an opportunity for us to accelerate. The team is really motivated and we're delivering. I'll give you one example. There's a lot of chatter that Oracle bought Acme because their SBC product line could be virtualized and placed in software. We've done that. They're still talking about it. So we believe we're accelerating. We believe we're leading. And I'd rather not get too caught up on a call like this or in, frankly, any public environment bad mouthing them. What we -- I do want to say to you, I'm not trying to be overly coy here. Of course, any time an industry leader gets bought, you got turn in a team, you got pricing strategies, you got turn in the channel and all of those opportunities, I think, are beginning to show up as opportunities for Sonus, and we're just going to leverage them as best we can. But our story is our story. We've had this story, literally, since we called -- we got a lot of things right and a lot of things wrong when me met with you in I guess it was June 2011, I was in the saddle about 9 months, we said we hadn't been out there for 6 to 7 years in the public domain, and we went out and said we've got to be transparent with the street. And what we said was there will be a second-generation architecture. It will be linked to scalability, policy, quality of service and transcoding. The world will get more complicated, and when that happens, it will be our opportunity. So I would say, it's in part the ownership change, but far more important is the architectural change. And for them, there's probably, my guess is, a wake-up call to: "Wow", in the midst of 2 changes, it's hard to make them both elegantly. And we're going to try to harvest that as best we can, all right?
Operator: At this time, there are no questions. I'll turn it back over to you.
Raymond P. Dolan: Well, thank you very much, and thanks to all of the folks on this call for following our company through the 3-year journey on my watch. This is the best hand I've ever had to play in my 30 years of commercial experience. The combination of an innovation engine that this team has stepped up to becoming, and it was an innovation engine, make no mistake, at the turn-of-the-century. But that was during the bubble when innovation engines didn't have to get things all the way to the bottom line to create value. The world has changed and this team knows that. And this innovation will drive all the way through the financial leverage and that journey starts now and will continue going forward. So thanks to all of you for being patient, working through all of our discussions of trials, all of the complexity associated with the old Sonus and for working with us into the new generation of Sonus going forward. I really appreciate that, and we look forward to sharing more with you on future calls. Thank you, operator.
Operator: Thank you, sir. And ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines.